Operator: Good day, ladies and gentlemen, and welcome to the Viper Energy Partners Fourth Quarter 2018 Earnings Conference Call. At this time all participants are in a listen only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference Mr. Adam Lawlis, Director of Investor Relations. Sir, you may begin.
Adam Lawlis: Thank you, Shenelle. Good morning. And welcome to Viper Energy Partners fourth quarter 2018 conference call. During our call today, we will reference an updated Investor presentation which can be found on our website. Representing Viper today are Travis Stice, CEO; Tracy Dick, CFO; and Kaes Van't Hof, President. During this conference call, participants may make certain forward-looking statements relating to the company's financial condition, results of operations, plans, objectives, future performance and businesses. We caution you that actual results could differ materially from those that are indicated in these forward-looking statements due to variety of factors. Information concerning these factors can be found in the company's filings with the SEC. In addition, we will make reference to certain non-GAAP measures. The reconciliations with the appropriate GAAP measures can be found in our earnings release issued yesterday afternoon. I'll now turn the call over to Travis Stice.
Travis Stice: Thank you, Adam. Welcome everyone, and thank you for listening to Viper Energy Partners fourth quarter 2018 conference call. 2018 was a transformational year at Viper Energy Partners for many reasons. First, we completed our conversion to a taxable entity, which enabled us to present our market leading investment opportunity to a significantly expanded investor universe, while also showcasing a unique tax strategy due to our relationship with our parent company Diamondback. Second, we continue to execute on our strategy of delivering unmatched return on and return of capital as we generated a full year return on capital employed of over 15% and increased our annual distribution by over 50%, while also growing reserves 65% and production 57% year-over-year. Lastly, our acquisition machine continue to consolidate Tier 1properties as we closed 88 accretive deals at $615 million and grew our asset base by over 5,000 net royalty acres or 55% year-over-year. Moving to 2019, we continue to see healthy activity levels across our acreage position as represented by the 40 rigs currently operating on our properties. As a result, we are providing full year 2019 production guidance that implies 25% annual organic growth without the need to spend $1 of capital to achieve this growth and while providing investors with a high single-digit implied free cash flow yield. In an industry where capital discipline is now a common universal theme, Viper offers an unmatched combination of both organic growth and free cash flow yield. Our ability to forecast multiple years of organic growth due to our relationship with Diamondback, our largely undeveloped acreage position and our continued accretive acquisition strategy and drop down visibility from Diamondback are important catalysts for our distribution and per unit metrics to continue to improve even in a flat commodity price environment for many years to come. I'll now turn the call over to Kaes.
Kaes Van't Hof: Thank you, Travis. Turning to slide 6, we show our 2018 annual growth on several key financial metrics as well as give an update on our rolling six month and annual production guidance. Importantly, we show range of estimated 2019 distributions based on our full year production guidance and a range of realized oil prices. Slide 7 through 9 showcase the differential business model and investment opportunity presented by Viper. As shown on slide 7, Viper offers an unmatched combination of growth and free cash flow yield versus energy industry peers and across multiple yield base alternatives, some of which traded significantly higher multiples than Viper. Assuming flat year-over-year commodity prices in 2019, Viper is estimated to provide roughly 25% organic production growth and a 7% free cash flow yield, all without spending $1 of capital. It is important to note that Viper's full year production guidance is typically conservative in nature given the limited visibility to third party operations beyond the next six months. With that said, we feel high degree of confidence in our expected growth in the first half of the year. And at a macro level, we expect that the Permian as a whole we'll see increased activity levels in the back half of 2019 which is not currently accounted for in our full year guidance. Slide 9 provides a detailed assessment of Viper versus precious metals streaming vehicles which are the very similar business model. Viper owns mineral rights in perpetuity on Tier 1 largely undeveloped acreage with significant remaining reserve life, has a mid-teens corporate return profile with over 90% cash margins and 25% estimated organic growth, all metrics which compare very favorably to the precious metals peers outside of the disparity of a rather trading multiples. Slides 11 and 12 highlight the continued success of our acquisition machine and accretive acquisition strategy which had its most successful year yet in 2018. As shown on slide 11, since our IPO in 2014, Viper has now closed over $1.2 billion worth of acquisitions across almost 300 transactions with over $600 million completed in 2018 alone. The opportunities set for acquisitions in the Permian Basin remains extremely robust. And we believe Viper is in a unique position to continue to accumulate Tier 1 acreage through immediately accretive transactions given our unmatched size, scale and expertise. Slide 13 and 14 detail a highly undeveloped nature of Viper's acreage position across both the Midland and Delaware Basins and illustrates why we believe Viper can deliver robust organic production growth for many years without the need to complete one more acquisition or spend $1 of capital. In total, we estimate our Permian acreage to be roughly 80% undeveloped and contain over 300 million barrels of net undeveloped resource using conservative spacing and type curve assumptions. Moving to slide 17, we provide an update on the remaining dropdown inventory currently held at Diamondback. Diamondback still owns almost 1,200 net royalty acres in the Southern Delaware Basin and over 900 net loyalty acres in the Midland Basin or almost 15% of our current acreage position. Over 90% of this acreage is operated by Diamondback giving Viper a line of sight to years of organic production growth. Additionally, Diamondback's acquisition of Energen Resources has provided another 250 net royalty acreage of minerals. And more importantly, a significant amount of production and associated cash flow that qualifies for a dropdown to Viper. We expect to working towards the dropdown transaction of some if not all of these assets at some point in 2019. With these comments now complete, I'll turn the call over to Tracy.
Teresa Dick: Thank you, Kaes. Viper's fourth quarter 2018 consolidated net income was $40.7 million. Our operating income for the quarter was $73.7 million, up 24% from $59.2 million in the fourth quarter of 2017. As shown on slide 19, Viper ended the fourth quarter with the cash balance of $23 million and liquidity of a $167 million. Also on slide 19, we provided details on our updated production and unit cost guidance. Importantly, Viper is initiating full year 2019 production guidance of 20,000 to 23,000 BOE per day, the midpoint of which implies 24% organic year-over-year growth. Separately, Viper's second and third quarter 2018 distributions which were the initial distributions after Viper's election to be treated as a taxable entity for federal income tax purposes were determined to not constitute dividends for U.S. federal income tax purposes. The distribution should instead generally constitute non-taxable reductions to the tax basis. With these comments complete, I'll turn it back over to Travis.
Travis Stice: Thank you, Tracy. In closing, Viper truly stands alone both in the energy industry and versus other asset classes when it comes to offering a combination of both growth and free cash flow yield. Viper's largely undeveloped asset base consisting of Tier 1 acreage throughout the Permian Basin can support many years of substantial organic growth and with our high margin business will lead directly to continued distribution growth with no capital spending required to generate this growth. In addition to the robust organic growth potential, we remain excited about the continued execution of our acquisition strategy, including both the consolidation of the private minerals market as well as significant expected dropdown opportunities from our parent company. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Neal Dingmann of SunTrust. Your line is now open.
Travis Stice: Good morning, Neal.
Jordan Levy: This is actually Jordan Levy. Just a quick question for you guys. Post the Eagle Ford deal, looking back, wondering how you guys are thinking about that deal after the fact and kind of the opportunity set outside of the Permian whether it's in the Eagle Ford or another basin, just curious, Travis or Kaes or any one on your thoughts on that? Thanks.
Travis Stice: Sure, Jordon. We look back at the acquisition and the entry we made into the Eagle Ford, we're extremely pleased with. In fact, you can look at one of the slides in the deck and see what its current yield is right now. That was an opportunistic trade that we did at the time. And while we're not currently looking significantly outside of the Permian Basin, we do feel like we got an obligation to continue to look. But I'll tell you, Viper's focus is growing mineral position here in the Permian Basin.
Jordan Levy: Got you. Great. Thanks for the color. And then just a quick second question. Looking at slide 13 or 14 where it shows the amount of undeveloped acreage outstanding in the Midland and Delaware. How does that given it's probably towards the lowest it's ever been in terms of developed assets. How do you think about that and in tandem with Viper's growth going forward and does that equate some higher growth than we've seen before, you are optimistic about that?
Kaes Van't Hof: Yeah. I mean you know we're still very optimistic about our growth profile for the next decade. Plus I think the important thing to take away from slides 13 and 14 is as we model this business long-term, we have decades of running room if these locations are drilled say over the next 15 years, Viper has a huge organic growth runway ahead of us without needing to do another deal. So I think that's kind of a misunderstood part of the Viper's story. So we wanted to add some clarity around just how undeveloped these assets are. Spanish Trail was a very important asset for Viper when we went public, but now Spanish Trail is 20% of our production and we have a huge Delaware position that's only 8% developed. So we're pretty excited about the runway and the inventory ahead of us.
Travis Stice: And Jordon, I'll just add to that commentary that in our prepared remarks we emphasized a couple of times, there is 300 million barrels of total resource there and as Kaes pointed out, decades of future development in front of Viper Energy Partners. But once again stands unique in this investment space is that all of these resources, all of this development, all of this organic growth occurs without one single dollar of capital being required. And I just challenge, I just challenge anyone to find as unique a vehicle as this with this growth, this yield where you don't have to spend any money to get it, it's just -- it stands alone.
Jordan Levy: Absolutely agreed. Thanks for the color.
Operator: Thank you. Our next question comes from the line of Tim Rezvan of Oppenheimer. Your line is now open.
Tim Rezvan: Good morning, folks. Thanks for taking my questions. I was hoping to start, in a worst case scenario for 2019 if there is pipeline delays and maybe the rig count kind of deteriorates, how many rigs would Diamondback need to run on Viper royalty acreage to sort of support that production guide that you put out?
Travis Stice: You know Tim, the baseline for our production guidance or the midpoint of our production guidance is the actual Diamondback drill schedule at the midpoint of Diamondback's guidance plus what we can see over the next six months from third party acreage. So Diamondback operates 40% of the acreage, but has 60% of the production. We have a pretty good visibility into that growth. Now Diamondback has taken care of its takeaway position and we're very confident in our ability to execute on Diamondback's capital program which supports the midpoint of this guidance here.
Tim Rezvan: Okay. I'm just trying to understand, if there is a subsequent rig drops, Diamondback's ability or kind of inclination to backstop that growth guidance?
Kaes Van't Hof: Yeah. I mean certainly the combined economics of owning the minerals on some of this acreage incentivizes Diamondback to drill on the mineral acreage first. So we feel very confident that Diamondback's midpoint of 20 rigs a year that we released last December certainly holds up Viper's production for the year.
Tim Rezvan: Okay, okay. And then just moving on to the tax status of every distribution certainly seems like the positive news. How long does that stay in place? Is that sort of a forever item or is that really related to the NOLs put up by Diamondback and it won't happen in theory if those NOLs will work throughout three or four years?
Travis Stice: Yeah. Well you know Diamondback's board approved $300 million support for the public unitholders of Viper stock so that our conversion from MLP to a taxable entity did not produce cash taxes and wasn't expected to produce cash taxes for the foreseeable future. Now you know I can't speak for what happens four or five years down the line and that's something that we can reassess at a later date. But certainly over the foreseeable future pending a large increase in oil price or significant acquisitions, we expect that the dividend income from Viper will be non-taxable.
Tim Rezvan: Okay, okay. Okay. That's all I had. Thank you.
Kaes Van't Hof: Thank you, Tim.
Operator: Thank you. Our next question comes from line of Jeff Grampp of Northland Capital. Your line is now open.
Jeffrey Grampp: Good morning, guys. Wanted Kaes to talk maybe a little bit more on the dropdown strategy and can you guys talk to maybe the extent to which dropdowns maybe predicated on success on your third party acquisition strategy say to maybe manage how many acquisitions or the dollar amount that you guys feel comfortable doing within a certain timeframe? And then can you also touch on your interest in giving equity to Diamondback in any dropdown scenarios such that they maintain that kind of 50% to 60% type of ownership?
Kaes Van't Hof: Yeah. Jeff, you know I can't speak for the Diamondback in the Viper boards on how they're going to negotiate this transaction, but certainly if you think about Diamondback growing within cash flow having a significant and growing dividend, we don't necessarily need the cash at the Diamondback level and we really like our 59% ownership of Viper and I think over time that should logically get larger. Now speaking to the dropdowns, we certainly understand that these assets should be in the Viper vehicle especially the minerals and the overrides that we carve off from the Energen acquisition. We want to get that done as quickly as possible. So it's a continued -- execute on the synergies that we presented at the Diamondback level six months ago. So we're actively working on it, I mean it's a very sizable dropdown so we want to get it right, but certainly it's something we're actively working on. And back to your other question about other acquisitions, I think those two discussions are mutually exclusive. The dropdown is one particular work stream we're working on and want to get done, but the other size of the business is $100 million or so a quarter at acquisitions that we've done over the last 10 quarters and we certainly expect that to continue to carry forward.
Jeffrey Grampp: Alright, great. That's really helpful. I appreciate that. And for my follow up and perhaps this is may be more of a Diamondback question as well. But can you guys touch at all about activity levels of assets where Energen has those higher NRIs, like I know you guys disclosed the average of 77%, but I assume there is maybe areas where it's higher or lower what not. I guess I'm trying to get a sense of the $60 million to $80 million of cash flow that you guys disclosed on those -- that excess NRI. Do you think that's growing faster or slower or maybe similar to what Diamondback's overall production has been guided to in 2019 and any way to kind of give us a flavor for that?
Travis Stice: It's tough. I would assume it's -- I would assume it's equal to what Diamondback's growth is. We're sorting through the details. Some sections will have a better NRI than others and that's the key -- the key works being done as to right size this dropdown and make sure it's one accretive to Viper, but to an areas where Diamondback is actively developing over the next five years.
Jeffrey Grampp: Alright, great. I appreciate the time guys. Thanks.
Kaes Van't Hof: Thank you, Jeff
Operator: Thank you. Our next question comes from the line of Eli Kantor of IFS Securities. Your line is now open.
Eli Kantor: Hey, good morning guys.
Kaes Van't Hof: Hey Eli.
Travis Stice: Good morning, Eli.
Eli Kantor: Can you give some color on how the size of the private minerals market has changed relative to a year ago? And what inning you think we're in, in terms of seeing the minerals shake hands from private owners to public companies?
Kaes Van't Hof: Well, that's a good question. I like to wake in the opportunity set to assuming that there are 5 million good Permian acres that would make the availability of 1.25 million Viper acres as we define it available to change hands. Certainly not all those minerals are going to change hands; there are some families and ranches in the Permian that they're going to hold their minerals forever. But if you look at that 1.25 million acre opportunity set, Viper only owns 15,000 of those. And we're the largest public vehicle in the space. So I'd like to say we're in the purchase second inning. I've certainly seen the mineral space evolve. We have a lot of small mineral buyers and owners that are now operating deals on a regular basis. So the opportunity set for us has only increased over the past couple of years.
Eli Kantor: And then as far as the uptick in rig activity that you guys disclosed relative to the third quarter, it looks like most of that increase was from private operated -- privately operated rigs. Can you talk about -- are there any specific areas either geographically or stratigraphically where those rigs are focused?
Travis Stice: Yeah. If you look on Page 11 of our deck, you can see on the right side where the rigs were operating. So really we like to focus on buying minerals where us with our Diamondback operator would like to operate and that's usually in the Northern Midland Basin and the Eastern portion of the Delaware Basin.
Eli Kantor: So last one for me and along the same lines. The Central Basin platform, New Mexico portion of the Delaware Basin and the New Mexico shelf have been areas where historically Viper and Diamondback haven't been active. Are there opportunities anywhere in either of those areas where you think you could see some growth for Viper in the future?
Kaes Van't Hof: No, I mean I'm sure there are opportunities we just don't have a lot of G&A dedicated to that acreage. We really like to focus on buying minerals in acreage that we would want to operate at the Diamondback level and we've been pretty clear that Diamondback at Central Basin platform is not part of our go forward plan. So it's really not part of Viper's either.
Eli Kantor: Great. Thanks for the color.
Kaes Van't Hof: Thank you, Eli.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jason Wangler of Imperial Capital. Your line is now open.
Jason Wangler: Hey, good morning everyone. I was just curious, Kaes maybe on the 40 active drilling rigs. Do you have a flavor for how many of those are drilling kind of the bigger pads these days? I know you guys kind of continue to talk about the increased visibility there. So just curious kind of how you see that rig count breaking down at this point?
Kaes Van't Hof: Yeah. I said the vast majority of those 40 rigs are drilling multi-well pads and we gave some clarity on page 16 of our deck showing where those large pads are. And those are those wells with the large interest is exactly what we at Viper are looking for an acquisitions. So I think that separates us from maybe some other mineral peers that run only a smaller percentage of a larger area, we'd rather run a high percentage of a smaller area because it gives us that visibility and ability to forecast.
Jason Wangler: Okay. And then as you look at liquidity, obviously you made a bunch of good acquisitions again in the fourth quarter, you still have obviously the debt levels very low and you're still some liquidity. But how do you think about that portion? Would you look at terming some of the debt out or is there a plan to repay some or just how you think about liquidity going forward because you have a lot of options on the table?
Travis Stice: Certainly, our revolvers continue to increase as reserves in production have increased over the past couple of years, now it's up to $555 million revolver. I think at some point it's logical to assume that Viper given the strength of its parent company and its investment grade light balance sheet to try to turn out some data or turnout permanent leverage at the Viper level.
Jason Wangler: Perfect. I'll turn it back. Thank you.
Travis Stice: Thank you.
Operator: Thank you. Our next question comes from the line of Philip Stuart of Scotia Howard Weil. Your line is now open.
Philip Stuart: Good morning, guys. Just one quick one for me. At the Diamondback level, I know the Quinn Ranch acreage is still kind of in legal uncertainty, but just curious if at the Viper level you guys own any minerals under Quinn Ranch? And if not, should Diamondback be successful in winning that lease. Do you see material mineral opportunities on the Quinn Ranch acreage?
Kaes Van't Hof: Yeah. We do not own anything on that ranch at this time. I'll say that any anytime Diamondback comes into acreage or requires acreage whether it's the Ajax deal, the Excel deal, the Energen deal, our Viper team gets very active and they get a much larger sandbox out of it. So it's logical to assume that any acreage we buy or trade into the Diamondback level becomes priority number one for our Viper team to buy minerals.
Philip Stuart: Okay. I appreciate the color there guys.
Travis Stice: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. I would now like to turn the call over to Mr. Travis Stice, CEO for closing remarks.
Travis Stice: Thanks again to everyone participating in today's call. If you have any questions, please contact us using the contact information provided.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This conclude today's program. You may all disconnect. Everyone have a great day.